Operator: Ladies and gentlemen, welcome to the TAG Immobilien publication of Annual Report 2024 Conference Call. I am Yousuf, the conference call operator. I would like to remind you that all participants will be listen-only mode. The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it is my pleasure to hand over to Martin Thiel, CFO. Please go ahead.
Martin Thiel: Yes. Many thanks. And good morning, all. This is Martin. Welcome to our annual report 2024 conference call. Many thanks for dialing in. Perhaps this year kind of special situation as we already published our preliminary results roughly one month ago at the end of February. We can tell you upfront that compared to this preliminary result, the final results did not change. So basically, all numbers were confirmed. After now, the audit is completed. But let’s start with the presentation on Page four, which is the highlights Slide and perhaps to summarize the main messages for today as follows. Firstly, FFO I came out even slightly above our guidance at EUR175 million. Guidance range was EUR170 million to EUR174 million. And what was better than expected was the rental results in our German business. And here, the EBITDA for the operational business in Germany was performing quite well. We had a very strong fourth quarter from the Energy business, but what was particularly more important is that we had quite decent like-for-like rental growth in German portfolio of around 3% in 2024 after 2.3% in the previous year. And the vacancy in our residential units in Germany fell to 3.6%, so reduction of 40 basis points in the course of 2024, which was for us, if you remember our history, we were making C rates still some years ago, definitely a big success. But not only the rental business in Germany and FFO I performed very well. Also Poland showed a very strong development in 2024. And here, namely, the sales business was stronger than expected. So we ended up with a net income from sales in Poland of EUR66 million and it was quite significantly above our guidance, which stood between EUR46 million and EUR52 million. And this increase in the sales result in Poland was due on the one side to better EBITDA, so better operational development. So we had higher margins in the projects that we handed over that we originally expected. We also sold part of our land bank, not too much, but we used just simply opportunities to sell part of the land bank. And on the other side, we had better than expected interest income in Poland because during the course of the year, we had a strong cash position. And as a consequence, not only the net income from sales in Poland was above the guidance. Also FFO II, which comprises the rental result FFO I and the net income from sales was better than expected. Looking at sales numbers in Poland, we sold around 2,000 residential units compared to 3,600 units in the previous year. So yes, this was less than expected and of course, less than in the previous year, but perhaps two comments on this. Firstly, 2023 was clearly an exceptional year with a tremendous sales result. But on the other side, and it’s also important, sales prices in Poland in the course of 2024 increased by another depending on location, on average, 5% to 10%. So that means that the sales volume that we achieved was still on a very good level. And if you look into 2025 to give an outlook already now, we see that we have increasing number of units sold already in the fourth quarter 2024. So therefore, our expected number of units sold for 2025 should be at around 2,800 units. This is in line with the guidance that we already gave you in November. Looking at the balance sheet. Firstly, NTA per share grew in 2024 by 5% despite greater portfolio or valuation loss in the first half 2024 in the German portfolio, so still a quite decent result. And in the second half of 2024, the trend from valuation losses in Germany, which lasted now for more than two years, stopped. So we had even slightly positive value increase of 0.9%, and this is clearly good news. But German valuation levels remain on a, from our perspective, quite moderate level. So we’re valued now at a gross yield in Germany of 6.6% compared to 6.3% at the beginning of the year and a value per square meter of slightly above EUR1,000. The fourth point to mention is that our strong liquidity position. So the liquidity position was already quite good at year end with a little bit more than EUR600 million of cash in the balance sheet after the issuance of a EUR500 million corporate bond in August last year. And we increased this cash position by issuing new convertible bonds in March of EUR332 million. So on a pro forma basis, the cash position stands at nearly or more than EUR930 million. This is good for two things. Firstly, all upcoming unsecured debt maturities in the next two years are already covered. But secondly, and it’s also important, now we really have the basis from the strong liquidity position to grow in Poland. And as you know, in Poland, we’ve got ambitious investment plans in our rental portfolio. So therefore, the basis for further growth is now clearly there. And as a last point from the highlights slide, all guidance for financial year 2025 are fully confirmed and are unchanged. We are proposing a dividend for the next AGM, which takes place in May of this year of EUR0.40 per share. So that translates into a payout ratio of EUR0.40 of FFO I. And it will offer our shareholders also the choice between a cash dividend and new TD shares, so meaning a scrip dividend. Let’s move on to Page 5. You will find a lot of details, perhaps a quick look at the disposals in Germany because we haven’t touched this yet. So we sold in financial year 2024 1,400 units at a total selling price of EUR143 million. The average gross unit at which we sold was 5%, and we even managed to achieve a slight book profit of EUR6.6 million. Looking forward into 2025, basically our disposal program in Germany is now fully funded. We shouldn’t expect really major disposals in Germany in the course of 2025. But clearly, opportunistically, we will also look at the market to dispose something if we can really exit at a price, which is then more meaningful above book value or also, but if we get a smaller share, perhaps some noncore assets that we sell. But on the other side, we’re also looking at potential acquisitions in Germany. You should not expect to really strategic and very large acquisitions. But if we see opportunities in the market in sizes like we bought in previous years, so portfolios EUR30 million, EUR40 million in East Germany, high yielding in markets that we know very well. So just to give an even idea, yes, we could also happy to do such acquisitions. Page 6 shows you more details on the Polish portfolio. And perhaps just to remind you that we also disclosed, you see this on the bottom right, the NTA and the net debt for our Polish sales business. And perhaps interesting to realize that although the sales business, delivers an adjusted net income this year of EUR66 million, last year even EUR83 million, the share of this business in the NTA is very small, so it’s just EUR3.29 because most of this business is not reflected in the NTA. For example, the full goodwill is excluded and also most projects are billed at its cost. So therefore, the NTA impact of this very profitable business is still small. Moving on to Page 8. We will see more details on the EBITDA, FFO and AFFO calculation. As said, the EBITDA in the German rental business was even stronger than expected and was basically on the same level like last year despite the disposals within in Germany, so not only the 1,400 units that we sold this year. Also in the year before, we sold around 1,300 units. So that means we’ve been able to keep the EBITDA in German business and the German rental business stable. And that means on the other side, as we have now stopped our disposal program or at least the formal disposal program, there should be definitely the expectation from our side that the EBITDA. Also, the German business is growing and also the Polish rental business delivered a quite nice EBITDA contribution. It’s still quite small with EUR12.2 million, but we will discuss this in a second. This will grow in the future quite strongly. As said, FFO I above expectations up year-on-year by around 2%. Also AFFO is up by 12% year-on-year because of slightly reduced monetization CapEx, but don’t see this as a trend. So modernization CapEx is simply something which has a slight of swing. So therefore, we should not expect a strong increase in CapEx in the future. That’s not the case. But on the other side, please don’t read too much into that if the AFFO is in some year a little bit higher or a little bit lower than in the previous year because CapEx simply has this simplicity. Page number 9 shows you the EPRA NTA development. I already mentioned the 5% increase despite the valuation loss that we still had in the first half 2024 in Germany. If we eliminate this on a pro forma basis, so if we would had a valuation result of zero, the EPRA NTA growth would have been around 8% year-on-year and that shows us that our rental business in Germany and in Poland as well as the sales business in Poland, even in a situation with zero relation effects, leads to quite decent per NDA per share growth, 8% per year should be here a quite strong number. Page 10 shows you the financing structure. We are now at average cost of debt of 2.6%. The average maturity is 4.4. The average maturity will increase a little bit now after the issuance of the new convertible bonds after the balance sheet date. So this convertible bond from March is not included in these figures. LTV is at 46.9%, so that’s still above our LTV target. But from our perspective, it’s not far away. You perhaps remember that it’s been already at an LTV of around more 46%, but what we did in the second half of the year, especially in the fourth quarter, is that we did some quite significant investments in land bank in Poland, especially for the sales business. So for example, in the fourth quarter alone, we had net investments here of around EUR100 million. And this EUR100 million investment in land bank in Poland increased the LTV by around one percentage point. So that means as we have now really a quite strong land bank in Poland, if we look at both businesses, rental business as well as sales business, this comprises around 27,000 potential residential units compared to around 21,000 residential units at the end of the previous year. Therefore, not really big investments are needed in financial year 2025 and that should very naturally come down or bring down the LTV. And additionally, as already discussed, we are proposing, as already announced, quite, yes, let’s say, reasonable moderate dividend payout that ensures on one side further growth, but also keeps the LTV under control. You’ll find more details on financing, especially the maturity profile on Page number 11. Again, with the pro forma liquidity that we have of around EUR930 million, everything that is coming up when it comes to unsecured financing. It is already refinanced and that should bring us in a good position as of today in a situation where markets are more volatile than some weeks ago. Let’s move on to Page 13 that shows you some data from the German portfolio. As I already mentioned, a quite strong development in like-for-like rental growth, so 3% total like-for-like rental growth. You see this on the bottom left, including vacancy reduction. But perhaps even more interesting and positive is the trend in what we call basis like-for-like rental growth. So that’s the light blue color, which came out at 2.5%. And that’s the rental growth, which is more or less purely driven by tenant turnover and rent increasing from existing tenants, so from the [Indiscernible], for example. It has increased from 1.5% in 2022, which was the same number the year before, to 1.8% now sorry -- 1.8% in 2023, 2.5% now. So that shows that also in our regions, we’ve got very strong underlying dynamics and rental growth is picking up even if we leave out any impact from vacancy reductions. Page 14 shows you the development of the vacancy rates once again over the years. So we’re very happy that we’re now at a vacancy rate in a German portfolio of 3.6%, starting from 4% at the beginning of the year, and this is for us a very good achievement. So we show here the development from 2021 onwards. If you put here also show some years before, you would see that the vacancy rates have been in our portfolio. Clearly higher as we had acquisitions with higher vacancy rates in past. So that shows us that the assumption that we had some years ago that also in the secondary cities portfolios will show very strong development was right. And we still think that there’s room to improve this. So the 3.6% vacancy rate should not be the end of the development, so they should clearly go down again in the course of 2025. Page 15 shows the portfolio relation in Germany as an overview. We still had a yield expansion in the course of 2023 as well in the course of 2024 by around 30 basis points. As said, we are now valid at a 6.6% cross yield and 6.6% cross yield in a world with interest rates that we have as of today that clearly increased now in the last weeks is still a very reasonable valuation yield from our point of view. So our portfolio still delivers quite decent cross yield even if financing rates are on the level as they are today or at a slightly increased level from the last week or last week. EUR1,040 per square meter is the value now on average for the portfolio. Also, this should be a quite moderate level. An outlook for 2025 is, of course, too early. I mean, let’s see how the development in interest rates is now in the next weeks and months. That clearly needs to be observed. As of now, we do not see values under pressure. So normally, our base case for 2025 is something like a flattish or a stable valuation. At least we have not factored in any valuation gains or losses into our business plan. Let’s move on to the Polish portfolio. Quick look at Page 17, which shows the rental business in more detail. So still good like-for-like rental growth in Poland with 3.2% after two exceptional strong years. So more than 10% last year and more than 20% the year before. So definitely success the trends are still growing in Poland after these two strong years. Vacancy in the total portfolio was 4.9% at year end, but some of the units or some of the projects have been completed towards year end. So if you look at the portfolio and just look at the apartments that are finished for more than one year, the vacancy rate in the portfolio was just 1.5%. Page number 18 shows the planned development of the Polish portfolio. We have 3,200 apartments finished at year end 2024. Around 1,500 units are already under construction. So that leads to an average or to a number of units finished at year end 2026 of around 4,700 units, so two years of construction time. And also the further growth is very visible. As I already said, we have now a strong liquidity position. We have a huge land bank that we can use for the rollout of the rental portfolio. And we have an excellent team, a great platform in Poland, who can execute this. So although it’s a midterm plan over the next around four years, we think this growth in the Polish portfolio is very visible and that will deliver quite strong EBITDA rental growth. We give you some numbers here on the right side. These are numbers that you already know from our last presentation. Just to remind you, this EBITDA growth from the Polish portfolio -- from the Polish rental portfolio will lead to growth in EBITDA from the rental business of around 25% in the next four years. And on top of this, we will for sure see some further growth in the EBITDA of the German portfolio. Pages 19 and 20 give you more details on the Polish sales business, but I think I already mentioned the main messages. So less number of units sold in 2024 than in the very strong year 2023, but based on higher sales prices and also the number of units that we handed over in 2024 was lower than in the previous year. But this was clearly already expected. And again, in the units that were handed over, we had even better margins than we expected. So a typical gross margin in our sales business is still above 30%, more than 32%, and that has not really changed. To the contrary, it has even slightly improved over the last two to three years as sales prices have increased. And finally, on Page 22, I look at the guidance for financial year 2025. I can make it short. So the guidance is unchanged for FFO I for our net income from sales in Poland and also from FFO II located a strong result that we presented from 2024. We’re very confident that we are in a good way to achieve these numbers. That’s it from me. Thank you already for your time and to listen to the presentation, but I’m now very happy to answer your questions.
Operator: [Operator Instructions] The first question comes from Marios Pastou from Bernstein. Please go ahead.
Marios Pastou: Hi, good morning. Thank you for taking my questions. Thanks for the presentation. Just a couple of questions from my side. Firstly, you mentioned you’ve stopped your formal disposal program in Germany. You mentioned you could look at maybe smaller acquisitions. I’m just thinking, I think there’s enhanced market uncertainty and questions over the trajectory of property values from here. Could you foresee a scenario where you maybe have to continue to sell in Germany? And then just on the Polish portfolio access of vacancy in Wroclaw, for example, from a new project in the left in process, how are discussions progressing on that one and how does this compare to your leasing targets? Thank you.
Martin Thiel: Yes, good morning, Marios. To answer your first question, yes, indeed, we have stopped our disposal program in the sense that disposals are no longer needed for upcoming refinancings. I mean, this was clearly a target of the disposal programs that we had in 2022, 2023, or still in the first half of 2024. Now this is completed, so therefore, we’re not under pressure to sell. As of now, we don’t see a world upcoming where property prices are falling, leverage is going up, and therefore, we need to sell. I mean, I’m optimistic that the increase in interest rates that we saw in the last weeks, which were still only, let’s say, only 30, 40 basis points, does not lead to a situation that we have experienced two, two and half years ago. So therefore, I’m not seeing the need that we will be in a situation to start significant disposals in the future. So yes, of course, we are flexible in this regard, but we are not expecting this situation. And when we talk about acquisitions, again, we handle this with care. We are not here under pressure. We’ve got a very natural growth plan in Poland, which is, as I mentioned, quite visible. So therefore, therefore, there is already embedded growth in the company. If we find something on top, if we find opportunities in Germany, yes, we’re happy to look at them and also to buy something that makes sense, but without any pressure. And the second question is, I’m not sure if I’m still correctly, it was to one project in Wroclaw that showed higher vacancy rate in portfolio, right?
Marios Pastou: Yes, correct. On Slide 17, the 9.8% vacancy.
Martin Thiel: Yes. And the pure reason for that is that this project or project stage, to be more precise, was finished in the fourth quarter of 2024. So therefore, we’ve been in the process of freezing that up. As of today, this vacancy rate is already significantly down. And this is a clear trend that we see with every stage that we complete in Poland. It takes between, let’s say, three to six months to rent out such portfolios or such stages. And then the vacancy rent is around, let’s say, 2%, which is in light of somewhat higher fluctuation that we have in our Polish portfolio, we think a strong sign for the demand.
Marios Pastou: Very clear. Thank you.
Operator: The next question comes from Thomas Neuhold, Kepler Cheuvreux. Please go ahead.
Thomas Neuhold: Yes, good morning. Thank you for the presentation and taking my questions. I have several ones and maybe we take them one by one. Firstly, I was wondering, probably it’s too early, but can you tell us what is your opinion on the impact of the huge German fiscal packages on the German economy, the resi sector and that? And do you see the risk of elevated wage and material cost inflation due to the huge increase in infrastructure spending, which is planned?
Martin Thiel: Yes. Good morning, Thomas. For us, the main topic to observe as a potential consequence of this quite huge investment program is the development of interest rates. That sounds perhaps simple, but when I look at other potential impacts, we are not involved in new construction business in Germany. I have, by the way, my doubts if such investments program will now bring a lot of units to the market. And main store construction costs are extremely high. This could then also lead to more construction price inflation. Yes, it would have a certain impact on our modernization project. But looking at the overall absolute levels that we spend here, for example, on CapEx, it’s still moderate. So therefore, we can digest this. So cost inflation developments in the new construction space is something that is not that relevant for us. And as discussed to me before, I mean, one needs to observe the interest rate developments. As of today, I think it’s still all okay. So if I look, for example, at our bond yields, currently, if we would issue a new corporate bond today, that would land perhaps exactly on the conditions of the corporate bond that we issued last year in August. Interest rates are a little bit higher than last year margins have come a little bit down. So therefore, still it’s a situation that we can handle very well.
Thomas Neuhold: Okay. And the second question is also more a top-down question. If we hopefully get these in Ukraine, do you expect any significant impact on your Polish operations? And maybe can you remind us which share of the acquisitions were done by Ukrainians last year and the year before? Is this an important type of group in the Polish operation?
Martin Thiel: Yes. Well, the first of all, thank you for the questions because we received this question from time to time now in the last week. And just to inform everyone, if you look at the appendix of our presentation on pages, I think, it’s 36 and 37, we inserted some two slides that show hopefully the strong fundamental data that the Polish market had and will have in the future. And that’s something that is not impacted mid to longer term from potential positive and negative impacts from the war in the Ukraine. Yes, clearly, 2023 was a year that was exceptionally strong, and this was also driven by a strong inflow of people from the Ukraine. But even without such special impact, you see that we are delivering already as of today, still strong results from our Polish business. So to give you some numbers, I mean, it’s correct. We have a higher share of Ukrainians in our tenant base, which is roughly around 30%. But this is nothing that was caused by the war. So this was also the same percentage before the war. Mainly potentially, it’s because a large part of our portfolio is based in Wroclaw, so that’s the Southern part of Poland where the Ukrainian border is not too far away. And these are, let’s say, not the typical refugees in the sense of that they are coming to Poland, live there for some months and then go back. Now these are people that are really working here and have been in Poland already before the war. So Poland always had a higher share of Ukrainians. So our customer base and by the way, it’s the same for the sales business it’s not the type of refugee that returns on day one if the war is hopefully over at some point in time. So therefore, we are convinced that the Polish residential market still offers very good fundamentals in the future. And who knows, if the war in Ukraine ends, perhaps also some people who were still bound to be in the Ukraine and basically have to fight out and leaving the country. This could also be the case. And that could lead to an inflow in other European countries like Poland or like Germany as well.
Thomas Neuhold: Thank you. And my last question is on refinancing costs. Can you give us an indication after the recent increase in swaps rates and interest rates? What typically 7-to-10-year mortgage loan would cost in Germany currently for you?
Martin Thiel: Yes. The 10-year mid swap rate is around two seventy basis points. So if we put on top of that a margin for the bank to give a round number of around 130 basis points, So that would be for 10-year around 4%. We are honestly going more currently for a 5-year maturity, so that brings us more to 3.6%, three point seven %. And if you look at the unsecured market, as already mentioned, potential -- or the five-year bond, which has currently a maturity of five years, is trading at 4.1%, 4.2%. So this would be our current financing cost.
Thomas Neuhold: Perfect. Thanks a lot.
Operator: The next question comes from John Vuong, Van Lanschot Kempen. Please go ahead.
John Vuong: Hi, good morning, Martin. Thanks for the presentation. You mentioned potential acquisitions in Germany. Given that you also focus on growing in Poland, how should we think about the split of investments between the two countries? Perhaps as a follow-up, how should we think about funding also taking some consideration that you are also looking to sell non-core assets?
Martin Thiel: Yes. Good morning, John. Again, to make it clear, the preferred capital allocation is the Polish rent portfolio. And here, we’ve got a clear plan. We are already executing this plan with units under construction. Further, construction starts. We’ll follow in the course of the year. We will handle that with care. We will do this step by step. But the target is clear to get to this 10,000 units now in the next basically a little bit more than three years. Whereas Germany acquisitions are really more opportunistically. As such, we are not forced to buy. So therefore, if we see something coming up and we’re not talking here about very huge portfolios, but as I said, just to give you an idea of the dimensions, a portfolio of EUR30 million, EUR40 million in locations that we know very well, good construction quality, yes, we would look at that. So that’s more an add on and more something opportunistically. And looking at the financing, I mean, in Germany, perhaps we are also little bit back to our capital recycling model in previous years. So executing opportunistically, perhaps some of the lower yielding assets, reinvesting that and into new high yielding properties, putting on top of debt a small bank loan. So that’s not a big financing issuance. And for the Polish portfolio, if I talk more generally about financing strategy, here we’re using unsecured financing and the corporate bond that we issued last year in August that really provided now provides now the basis for the investments that we want to do.
John Vuong: Okay. That’s clear. And then just to confirm the acquisitions that you’re looking at, that’s going to be in line with previous investments. So you’re going to acquire some vacancy and lower that through modernization?
Martin Thiel: Yes, yes. So not a new asset class, not a new market. So really something that would fit very well in the TAG portfolio.
Operator: Okay. Thank you. The next question comes from Eleanor Frew from Barclays. Please go ahead.
Eleanor Frew: Good morning, team. Thank you very much for the presentation. One question from me. So I’m looking at the title of your press release that says, expect further earnings growth following the completion of refinancing phases. Maybe if you could elaborate on that as obviously your FFO I guidance for this year is broadly flat to down. So maybe what time frame is that phase referring to? And any more color on how you see your future earnings progressing with the upcoming refinancing that you have? Thank you.
Martin Thiel: Yes. Good morning, and thanks for the further question. It’s clearly the very visible midterm earnings growth that we see here and then coming back here now to the investments in our Polish rental portfolio. As you perhaps have seen at slide, we are predicting year in EBITDA growth from the Polish rental business alone of around 25% until year end 2028. So that’s a little bit more than three years. Additionally, as mentioned, as we are not looking into larger disposals in the German rental business, also the EBITDA from the German rental business will grow. So therefore, the EBITDA growth is very visible. And then looking at results growth, I mean, particularly, one needs to make an assumption of the interest rate development in the next two to three years. But if you pencil in interest rates as they are today, you should clearly see that earnings also will grow now really step by step over the next years. And that’s for us, I think, a good basis which we can operate it. Again, there is embedded growth in the company as we have these growth opportunities in Poland.
Eleanor Frew: Thank you.
Operator: The next question comes from Thomas Rothäusler from Deutsche Bank. Please go ahead. Your line is open, sir. You may proceed with your question.
Thomas Rothäusler: Hi, can you hear me?
Martin Thiel: Yes, we can hear you now. Good morning.
Thomas Rothäusler: Hi, it’s Thomas. Just one question on the Polish build-to-sell business. I mean, there was obviously this lower demand recently, and you referred to the high level of 2023. Just wondering what would you say to what extent it was due to the uncertainties from the subsidy program? And to what extent maybe from a weaker underlying demand? I mean, given the relatively high mortgage rates. And I think if I got it correctly, you referred to promising sales activity in the first quarter so far. Is that correct? And maybe could you share the run rate?
Martin Thiel: Yes. Good morning, Thomas. I mean, we will publish our Q1 data now in six weeks. So but it’s too early to give a clear indication of the sales in the first quarter. But if you look at the sales numbers of the fourth quarter, that was around 500. So that was already stronger than the quarters before. We should assume that this trend continued. So therefore, that is really now guiding towards more units sold in 2025 compared to 2024, and that’s exactly what we are guiding for the full year. Looking at the demand in 2024 in the Polish sales business, I would not say that there was low demand. It was clearly lower than 2023, which was again a very strong year driven by people coming in from the Ukraine that put pressure on the market. Also at that time, a subsidy program that helped mortgage buyers. So perhaps we are now 2024 and 2025 back on a more normal level, which still means that we’re earning with this business some EUR16 million, perhaps even more. And so that should be definitely still a strong result. Can we really split this? And can we say, well, a certain reduction in sales volume was due to the uncertainty about a potential new mortgage program? That’s not really possible. But clearly, what we see today in our sales business is, as it is clear now, that there’s not a new subsidy program for new construction apartments is coming. These uncertainties are out of the way and more people are then simply making their decision. So this was clearly helpful that some respect their decision was now clear and we are now really back into a normal and still quite strongly working sales business, I would say.
Thomas Rothäusler: Okay. So there’s no new subsidy program in the making?
Martin Thiel: No. And there is a subsidy program in the making, but more or purely dedicated to the secondary market or to people with lower income, which is also to some extent helpful because every program in the market creates additional demand, but it’s not our product. And that’s the even better aspect for us was that customers that some months back perhaps still waited to buy an apartment because they’re waiting for a potential new program, now it’s clarity and now really are buying the apartments that they had. That’s already thought about some months ago.
Thomas Rothäusler: Okay. Thank you.
Operator: The next question comes from Simon Stippig from Warburg Research. Please go ahead.
Simon Stippig: Hi, good morning. Thanks for the opportunity to ask a couple from my side, if I may. First one would be in regard to the services business. I saw here the growth claim mainly out of the energy services. Could you comment on a certain driver for the increase? And also, if you expect that the growth rate to continue in 2025?
Martin Thiel: Yes. Good morning, Simon. It’s correct. In the service business, the energy business in Germany was quite strong. So that was even a little bit better than what we had expected. But we’re expecting nearly the same result for this year, perhaps a little bit weaker. So weaker means just EUR1 million to EUR2 million less. So this business is simply working quite well. We have expanded this business, so more units are now connected to our energy business. And energy business means we are more or less selling heating to our tenants. We’re also doing some metering services. So the business has expanded quite well over the last years. And secondly, if you look in the total P&L in the group and you see a strong increase year-on-year, what is also included in the service business, but is part of the sales segment, is the services that we do for our joint ventures important? So you know that we have some joint ventures in Poland where we have a 50% partner. And here, we are responsible for the construction business, for the sales business, and we kept quite decent fees for that. So that’s also, if you look at the total P&L, a reason for increased service results.
Simon Stippig: Okay. Thanks. And your penetration in the energy business for the German portfolio, can you comment on that? How many units you’re already penetrating?
Martin Thiel: I think it’s in the meanwhile around 60,000 units. So that increase now over the years.
Simon Stippig: Okay. Thanks. Second question will be in regard to your German disposals. You had quite a few disposals out of your German portfolio in the last year. Could you comment on how many of those have been closed until the year end 2024?
Martin Thiel: Yes. Most of them have closed. There was just one portfolio, a little bit more than 200 units that now will close at the end of the first quarter. And that’s an impact, I can if you do the net cash impact, that’s around EUR25 million. So with the help of debts closing after the balance sheet date, we’ll have a slightly positive impact on the LTV additionally.
Simon Stippig: Okay, great. And could you also comment on the impact of the closed portfolio on your net core trend in 2024 because there are always some phasing effects, so great to get that number.
Martin Thiel: Sorry, Simon. Can you repeat this once again?
Simon Stippig: Yes. The impact of your closed portfolio until year end 2024 on net core trend, because usually there are phasing effects over the year. So just would be great to get that number.
Martin Thiel: On this specific portfolio, if you mean there’s not a huge impact, We gave it in Q3.
Simon Stippig: Sorry, the total 1,200 units you closed in the last year.
Martin Thiel: Yes. Okay. That’s what I just wanted to refer to. That’s around EUR4 million rent that we sold here. If you look at the Q3 presentation, I think we gave there a bridge between FFO 2024 and 2025, and there you will find this EUR4 million impact from sold units.
Simon Stippig: Okay, perfect. Thank you. And then one more in regard to what you mentioned in the presentation overview on Page 4, item two, Poland. You mentioned during the presentation you have a strong cash position in Poland and you earned better interest from that, but you also said that’s part of your land bank. And again, later in your presentation on the financing structure on Page 10, you mentioned that you bought some land bank in Poland. Here, I would be keen to know what you meant by the selling and buying of land bank as well in connection to the high cash position in Poland.
Martin Thiel: Yes, yes. Sorry, if this was a bit confusing. So to be more precise here, the cash position was very strong in Poland, especially in the first half of the year. So we had more cash in the balance sheet than originally planned. So that created interest income, which was above the plan. So therefore, this was mainly the reason why also for the full year, we had better interest income than expected. So first year strong cash position in started again also to look at opportunities for buying land bank in Poland, and therefore, we invested. So therefore, at UN, I would say the cash position in Poland is back on a normal base. We increased, as mentioned, our land bank in Poland quite strongly. And we are typically buying here really larger plots of land. So land plot for, let’s say, potentially 1,000 units. And what we do then from time to time is after such an acquisition of a larger land bank, perhaps we sell a smaller part of this land to another investor, other developer. Yes, and by doing this and offering a smaller land plot where perhaps the competition around such smaller land plots is higher, from time to time, we realize here a nice profit and the team is here really doing a great job. So therefore, I mean, we’re not trading with the land bank, but opportunistically, we use demand for smaller land banks to sell at least part of the land bank to realize some extra profits.
Simon Stippig: Okay. And that will be mainly the same land bank or a larger land bank, not different locations you’re selling and buying?
Martin Thiel: No. This is really from a larger land bank selling a smaller proportion to realize opportunistically a profit.
Simon Stippig: Okay. Thank you. And maybe one last one. I saw in your portfolio overview that in Salzgitter, you had a very strong vacancy reduction last year by some 70 basis points. And I was wondering is that explained by certain modernization projects you conducted maybe the year earlier? Or if there are other factors that explain that? And also here, what structural vacancy would you see in the portfolio region of Salzgitter? And maybe also the same would apply the question -- the same question would apply for your Berlin portfolio region because here you also decreased vacancy quite strongly?
Martin Thiel: Yes. In both regions, we had quite for our sizes significant investments in the past two years. So especially in the Berlin region and here in half of where we own around 3,000 units, we did for our sizes quite significant investments that we have seen the success now in the course of 2024. Similar in Salzgitter, also vacancy is a kind of volatility. If you complete such a monetization program and then you rent it out, that’s not from day one, but over the next weeks and months, you simply see that vacancy rates are going down without any super huge monetization. But yes, clearly, that helped a lot. If you ask us for the structure vacancy rate, low-capacity overall portfolio, 3.6% is already a great achievement, but there’s definitely room for improvement. So we published our guidance in November. And we’ve been even better in the vacancy development than expected. But still, if you look at the guidance, I think that assumes a further twenty, thirty basis points vacancy reduction in the course of 2025. That’s absolutely still something that should be achievable. So the demand for the product for affordable housing also in our regions is simply there.
Simon Stippig: Okay. So there are no other factors at play, for example, in Salzgitter?
Martin Thiel: You have in mind something like 200 units rented out to a special group of people, whatever, that’s not the case.
Simon Stippig: Okay, great. Thank you very much.
Operator: The next question comes from Kai Klose, Berenberg. Please go ahead.
Kai Klose: Yes, good morning. I’ve got two quick questions. The first one is, how have rent receivables in developing in 2024 in the German portfolio? And the second question in the German rental portfolio. And the second question, just want to check, you mentioned that you have spent around EUR100 million for land purchase imported in Q4. Is this correct? And the second question on that. And on how much of the land you already have is already that already zoning or the permitting info?
Martin Thiel: Yes. Good morning, Kai. Perhaps I start with the second question. The other EUR100 million is correct. So that was the investment volume in the fourth quarter in land bank. And again, that led to the LTV increase by roughly one percentage point. But on the other side, we have now a land bank that really helps us to create value in the future. And most of that has -- or the larger part of that has no residential zoning, but that’s a typical case. So there’s nothing special, nothing new in our business and also nothing that is in Poland a concern. So that’s simply the business model that we and the companies that we acquired is falling for many years, and that’s where we create value. So by doing the rezoning from, for example, commercial to residential zoning. So that was the question regarding land bank. And the first question, rent receivables have not really increased in the course of 2024. And also if I look at the impairments on rent receivables that we have, we’re still at around, I would say, slightly above 1%. That is also unchanged compared to 2023. And perhaps even more important, that’s unchanged compared to the previous year. So that means when we look at increased heating costs that our tenants clearly had to pay in the last two, three years, and that had not an impact on their ability to pay their total rent.
Kai Klose: Thanks very much. And the very quick one on the land report in Poland. Probably a bit too early to give a split about develop to hold and develop to sell. But based on your current planning, is it already some thoughts in mind? Or is it way too early?
Martin Thiel: Yes. Clearly, every time when we buy a land bank, we have a plan and but I think what are we designated to build the whole project and what are we using for the build-to-sell projects. The larger part of the land bank will be used for the sales business. So if you look at our growth ambitions to get to the 10,000 units, a little bit more than 3,000 units are already finished. So that means out of the total land bank, 7,000 units, particularly a bit more, are as of now earmarked for the rental business and the remaining up to 20,000 units are earmarked for the sales business. And that makes it clear for us. We have really now a big land bank, which is clearly an asset in this market that we can use now in the next years to sell. So large investments are not necessary. So we have also used this situation where we had simply the financial power to buy something and to invest into the future.
Kai Klose: Great. Many thanks.
Operator: The next question comes from Manuel Martin, Oddo BHF. Please go ahead.
Manuel Martin: Hello. Thank you. Just two questions from my side. Martin, as you said that the interest rate involvement is one of the major topics to be followed. Have you heard anything from a presence or from the recent mid-term in France? Or any impression how people are feeling about potential development of interest rates? Maybe you have a kind of feeling or got a feeling from these people?
Martin Thiel: Yes. Good morning, Manuel. I don’t see that there is currently a concern in the markets that we will now again enter a phase where values are coming down. I mean, still the development, honestly, is quite young, right? So it’s just three or four weeks back since interest rates now increased. But again, if they are on the level where they are, that’s for us still absolutely okay. So our business in Poland as well as in Germany is based on high yielding assets. So therefore, we are still earning money even on today’s interest level. I mean, of course, we listen to the market. If you ask us, do you already see people that now have a different opinion on potential acquisitions or disposals in Germany? No, that’s not the case. So I’m not worried that we are entering now another difficult phase. Operationally, the market is super strong in Germany as well as in Poland. And I think it’s just important to observe the situation, right? And for us, the good situation is that we can observe this situation from a strong liquidity position, and that should be a good basis.
Manuel Martin: Okay, understood. Second and last question, a short one on the convertible due in 2026. Any thoughts on this? Are you going to pay that back or launch something new? I mean, you already launched recently a convertible bond that we saw.
Martin Thiel: Yes. And we will pay that convertible bond next year back. So the EUR470 million from the cash position that we have. So if you want, so out of the nearly EUR1 billion, EUR470 million, half of debt is more or less blocked for the convertible bond repayment. We didn’t make a repurchase of our already positions of the new convertible bonds because the yield on the outstanding convertible bond was already quite tight. So for us economically, that makes more sense simply to put it onto our cash accounts and earn some interest income. And also from a tax perspective, this was the better way for us not to repurchase the outstanding bond, but simply to repay it when it is due.
Manuel Martin: Okay. All right. I think that’s it from my side. Thank you.
Martin Thiel: Thank you.
Operator: The next question comes from Dossmann Stephanie from Jefferies. Please go ahead.
Dossmann Stephanie: Hello, Martin. Just a question on the dividend. Do you contemplate an increase in the dividend payout going forward? Do you have any target? And maybe on the scrip dividend, so the rationale behind offering a scrip dividend maybe, is it due to cash retained requirement from rating agencies, for instance? Or how do you how can we see that, please?
Martin Thiel: Yes. Thanks for the question, Stephanie. First of all, comment here on dividend for financial year 2025, we are again guiding for a 40% payout ratio of FFO I. So that would translate roughly in the same dividend as a guidance that we pay out now for this year. It’s too early to give already an outlook for the dividend thereafter, but we’ve discussed some minutes back, earnings growth that is very visible from the growth of the Polish rent portfolio and so on. And in line with that, it would be very natural that also the dividend growth again. And at some point in time, and again, it’s not too far away, I mean, we can also rethink about the payout ratio. So once we are more and more completing our investments in Poland, So there will not only be higher earnings, but there could be also there will be room for higher payout ratio. But it’s too early to give already a concrete guidance as of today, but that should be very clear that shareholders can expect a growing dividend in the future. And commenting on the scrip dividend, no, it was not a request from rating agencies. I think they’re happy to see this. Simply, we had in the past weeks and months discussions with our shareholders. So after we announced the dividend, the first dividend payment after two years of suspension in November, we took the opportunity in meetings to discuss with shareholders this idea, and we saw a broad acceptance for that. And for us as a company, clearly, it’s not a material amount, but over the time, over the next three, four years, putting in a smaller portion of equity into our growth in Poland is something that is not only digestible, but also makes sense from a LTV’s perspective. So that was the reason why we’re now offering the scrip dividend, and we will do this in a very standardized way. So you shouldn’t expect a wide discount. So this should be absolutely market standard. I think market standard is a 2% to 4% discount. So we’re not forcing shareholders into shares if they want to take or prefer a cash dividend. So that should be very standardized.
Dossmann Stephanie: Thank you. But do you mean that we should expect scrip dividend going forward each year?
Martin Thiel: That’s I mean, that’s we will decide on this year on year. But as of now, this is a plan, but we’re going to clearly decide on this and formally again one year from now.
Dossmann Stephanie: Okay. Thank you.
Operator: The next and last question comes from André Remke from Baader Bank. Please go ahead.
André Remke: Yes. Good morning, Martin. Thanks for the presentation on all the answers. Coming back to Thomas’ question on the potential, hopefully, end of the war in Ukraine, this implication on your business. Do you see, in particularly, any implication on the development business in terms of, let’s say, higher construction costs or lack of blue-collar workers as they have to rebuild the Ukraine? So do you see any risk for gross margins or more delayed construction process on your side of that? The first question, please.
Martin Thiel: Yes. Good morning, Andrea. Maybe of course, always difficult to give answers on questions what happens if. But when also when we discussed this with the team, we realized that that’s not a big concern. And I mean, we can speculate a lot on how intensive the rebuilding of Ukraine will be, how the retraining will look like after a piece that is hopefully coming soon. Poland and Ukraine have been quite, let’s say, closed for many, many years. So Ukrainians and Poland have always been part of the society. I think more than one million Ukrainians apply for so called PESEL number, which is a kind of Social Security number. That means they’re settling down. They’re working in Poland. They have jobs in a country that economically is doing well. So this will not be a game changer, definitely not. So let’s see how the situation then plays out in Ukraine, but it’s nothing where we think business wise this will affect us materially. And again, the Polish residential market has really strong financials and especially our business. And our business again is new constructed apartments in large cities in Poland that over the last years and in the future have seen and will see good development. So this is perhaps the most important thing that the underlying data for Poland is still very, very much convincing.
André Remke: Okay. And the last question, do you expect to reach the 45 LTV target already this year assuming a stable portfolio valuation?
Martin Thiel: Yes, we could be very close to that. You’re right. I mean, the best case should be zero valuation impact. So the dividend payout with 40% of FFO I is quite moderate. The business is producing quite significant amount of cash. So therefore, we should be definitely closer to the LTV target at year end 2025.
André Remke: Excellent. Thank you very much. That’s from my side.
Operator: We have a follow-up question from Simon Stippig, Warburg Research. Please go ahead.
Simon Stippig: Hi. Thank you very much. One follow-up from my side, if I may. You just mentioned once the investments in Poland are completed, is it fair to assume that your investments are completed in the year or during the year 2028?
Martin Thiel: Yes. In 2028, we have reached our mid-term target of 10,000 units. So let’s decide in two or three years what’s the plan from there on. But I mean, this is then really, at this point in time, a meaningful rent portfolio that produces significant cash flows. So then we have definitely also more freedom regarding higher dividends. Please don’t take this as an exact guidance that exactly in this year the dividend will increase, but I just wanted to describe the trend, right? So we have seen higher EBITDA contribution from the Polish rent portfolio. Clearly, this will lead then also into FFO I growth. This will then naturally lead into higher dividend. So the way is clear, but still too early to say exactly this is the point in time when we then switch to a higher payout ratio.
Simon Stippig: Sure. All I understood. Thank you.
Operator: Ladies and gentlemen, this concludes our Q&A session. I would now like to turn the conference back over to Martin Thiel, CFO, for any closing remarks.
Martin Thiel: Yes, many thanks all for dining in for listening to the conference. Just one reminder, we already sent out a safety date for our Capital Markets Day on the June 12, which is taking place in Gdansk in Poland. We will send out the diesel program in due course. Hopefully, see a lot of you attending the Capital Markets Day that will be a pleasure to us. Many thanks again. See you soon and have a nice day.
Operator: Ladies and gentlemen, the conference is now over. [Operator Closing Remarks]